Operator: Thank you for standing by. This is the conference operator. Welcome to the Equinox Gold Corporate Update and Second Quarter Results Conference Call and Webcast. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Rhylin Bailie, Vice President, Investor Relations for Equinox Gold Corp. Please go ahead.
Rhylin Bailie: Thank you very much [indiscernible] and thank you very much for joining us today at the Equinox Gold second quarter update. We will of course be making a number of forward-looking statements today's so please do take the time to visit our Web site and our continuous disclosure documents on both SEDAR and EDGAR to be fully informed. I will now turn the conference over to our CEO, Christian Milau.
Christian Milau: Thanks Rhylin and welcome everyone to the second quarter call. Just to note here Peter Hardie CFO is with me today as well as Doug Reddy, Head of Technical Services soon to be COO and Attie Roux our COO is here s well and Scott Heffernan, Head of Exploration. So the whole team ready for questions t the end s well. So as a quick summary, we had a very good quarter despite the challenges of COVID that we know all the industry and other industries have been dealing with. Los Filos in Mexico was temporarily suspended for most of the quarter, but is up in running again and we had two of our Brazilian mine suspended for a little less than two weeks and overall we had very strong cash flow performance and very strong cost performance for the quarter we are really pleased with and that gave us the ability to repay a little bit of our debts. And as we sort of transitioned here after reasonably smooth integration during the COVID crises. You know I’m very happy with how things have gone since March 10th when the two companies Leagold and Equinox came together and the management team really has gotten on to the same page here. And I would say it has gone as well as it could be expected and I really want to say thanks Attie Roux who has been the COO since the merger and I worked with Attie for about five years in Endeavor mining as well and he made the transition here very smooth and really is challenging time as COVID came on literally within days of us completing the merger. So thanks to Attie and he will be retiring at the end of August, so hopefully he will enjoy a little more downtime in his I would semi retirement and you know pleased to welcome Doug Reddy to the team as COO. Worked with Doug again for five years at Endeavor. So it feels like a fairly seamless transition and I think shareholders should be very happy with the results here of this kind of transition from one experienced leader to another. So looking forward to the future, there is lots of exciting stuff to come and well will run through that here today. And just starting on Slide 3, with health and safety. We did have three loss time injuries over the 2.6 million hours for the quarter, respectable performance there. And with COVID you know the impact was a little disruptive that Los Filos being down for most of the quarter, but all the mines are currently operational, but let’s not forget here, the risk hasn’t gone away with COVID. We are finding a new way to operate a new normal for now until a vaccine is found or things change. We certainly are operating with a lot more testing at our sites. We have implemented quite regular testing in California. We are doing the same in both other countries as well. We are even instituting potentially some labs on our sites and we are using the local labs that are in the regions. So we are taking it very seriously and we have integrated a lot of those costs and as you can see we have had about 16 million of temporary cost for the quarter. So overall a good performance. And I'm going to actually pass over to Peter Hardie to run you through the rest of the financial results here.
Peter Hardie: Thanks. So, we had another record quarter with production of 127,000 ounces and on the back of that we sold just under 126,000 ounces of gold at a realized price of $1,712 per ounce. I will note that the sales for the quarter are more than 40,000 ounces more than over Q1. And that was with Los Filos down for most of the quarter due to government mandated temporary standby due to COVID. Our mine cash costs - our costs for the quarter were also quite strong with mine cash costs of $776 an ounce and all-in sustaining of $900 an ounce. Those costs are driven by first of all a good cost controls by operating teams on the ground, favorable foreign exchange and of course, low fuel prices, also influencing the cost for the quarter where was adjustments for purchase price accounting. Our consolidated financial results we had revenues of 215 million and mine operating earnings of 85 million. Adjusted EBITDA was 83 million and our adjusted net income was 27 million or $0.12 per share, including those adjustments as Christian has mentioned, were adjustments for gold hedges and warrants, liabilities, as we have Canadian dollar denominated warrants for that. Gold hedge were 38 million and warrants 49 and then also an adjustment for foreign exchange all of these non-cash charges are unrealized for a total of about 90 million. Our cash flow from operations, after changes in working capital for the quarter was 84 million and would note that before changes in working capital was 61 million. On to Slide 4. For our corporate highlights, we received 157 million in exercises on warrants and options during the quarter. Those warrants are predominantly legacy [Brio] (Ph) warrants that came in through the Leagold merger. We were added to the GX and S&P TSX composite indices. And in addition of note Solaris Resources, which was the copper spin out from the company in the summer of 2018, listed on the TSXV, they came out with a strong news release yesterday of good drill results. And our 30% investment in that company is now worth at a market rate of 70 million. On our balance sheet of course, we carry that at cost, and so that market rate is not reflected there. With respect to our liquidity and capital position. Of course, the warrant exercises from the quarter and option exercises really strengthened or continued to strengthen an already strong balance sheet. Our cash was 494 million at the end of the quarter and that was after repaying 22 million in debt. Our net debt, which includes our in the money, convertible notes is 244.3 million. And if you exclude those, because they are well in the money at an average convert price of 650 a share, we actually have a net cash position of 8.3 million. With respect to our share price or share liquidity in volume, since the merger, we have experienced a huge increase in both with an average DA trading volume of over 48 million recently. Going to Slide 5. Noting again, we had our second consecutive quarter with record results. That was on the back of, first of all, of course, having a full quarter of results from post legal merger and having the assets now in the portfolio. Mesquite had a very strong quarter, producing just shy of 40,000 ounces for the quarter and 76,000 ounces in the first half of the year at very good costs. The Brazil assets despite all of the difficulties with COVID in that country, and thanks to very strong management on the ground, is meeting expectations for where we thought they would be from the beginning of the year. So they had a strong quarter. And Los Filos even though, it was down for the quarter still produced just 18,000 ounces at quite low costs. The rationale or the basis for those costs is first of all, with the mind being on temporary suspension. We postponed sustaining capital and expenditure activity to the second half of the year. And you will see that in our going through the minute when Christian walks us through it. Of course, we had favorable foreign exchange there and the activity of residual leaching in and of itself is fairly low cost. And finally, purchase price accounting also contributed somewhat to the low cost as well. Just going back to the operational results and walking through each mine in a little more detail, Los Filos first in Mexico. Mining and development recommenced in June, the ramp up took place probably midway through June. We retested the whole workforce for COVID, so we took a very cautious approach to restarting. One of the impacts from actually the quarter delay in development has been the higher grade ounces that we expected from the Guadalupe open pit in the Bermejal underground are being deferred to 2021. So we did have a delayed quarter and essentially of production in Q2, but we also have a knock on effect in Q4, moving those ounces into next year. So that is why we have reset that guidance. And our all-in sustaining costs benefited from the FX rates and fuel rates that Peter alluded to. We are still seeing those nice depreciated currency rates helping us in Q3 as well. Aurizona in Brazil, with its first full rainy season had good production. Overall, we met our expectations for production and the only thing I think we are a little behind on our waste mining for the quarter and we expect to catch that up here in the dry season. We have benefited from having a nice stockpile of lower grade ore that we were able to draw upon as needed during the rains. And we plan to have the same going into next rainy season at the end of the year. Again, FX rates and fuel healthcare costs and what we are really focused on now and Scott is spending a lot of time on is, as we out of this rainy season is how to extend the mine life. Drilling is ongoing. We are looking at obviously advancing to a prefeasibility study for the underground potential there. And there is drilling going on at depths as well as satellite pits and a long strike. So keep an eye on that space. We plan to have some news obviously, as we get results from that program. Mesquite as Peter said, was really kind of the star of the first half. It was head of production, a little bit lower cost targets. We have definitely prioritizing the oxide ore from historical dumps, which we continue to find more and more of as Scott’s programs continue to bear fruit. For the second half and part of June, we are starting to stack more and more non-oxide ore. So there'll be a longer leach curve, slightly lower recoveries. So we have sort of temporary expectations for the second half. We don't expect exactly the same sort of results. We expect slightly lower production. But what's really exciting there, the exploration is ongoing and we have had really good results to-date. Remember, this mine was acquired for $158 million in 2018, when gold was $1200 an ounce and another three year mine life. We now have been mining for almost two years. And we still have almost a three year mine life. So really pleased to see that exploration bear fruit. We are also excited obviously, it is a very sort of leveraged to gold operation where it has a very good margin right now. And when you look at it on a potential EBITDA basis here, with these types of gold prices, we are seeing even with the big fall today in the gold price. Potentially EBITDA generation on an annual basis could be in excess of actually the purchase price. So the free cash flow from that operation is very exciting. And the other added benefit now is we are just ramping up Castle Mountain into production here in the near term and we will be able to smelt the gold and share some of the actual back office and services between the two mines. Let me turn back to Brazil and Fazenda on the next slide on Slide 7. Fazenda basically was affected slightly by COVID. The mining workforce was reduced for a short period there, the local Mayer had put in place some restrictions to manage the COVID situation in local communities. So we were impacted slightly by that, but it is now operating at full capacity. Grades were slightly lower for the quarter, we do expect see ourselves through that period and probably into late Q3 into Q4, we will be seeing returns to sort of the normal grades we are used to seeing out of Fazenda. Again, good costs, slight dispersed expenditures for the for the quarter, and into later part of this year. And then when you look at RDM, the other Brazilian mine as some scale had a very strong first half. We are very happy with the grades and the mining performance slightly better than planned. And what's exciting as well is there has been capturing of water and the storage of water has been very good for this year where we expect to make through the full-year with the water sources that we have available to us. Again, costs were good. Some slight deferred stripping spend from the first half. And what we are planning to do is actually have a big pit extension once we received the permit for that, and we will be able to access some higher grade or later this year. So overall, very pleased with RDM performance. And Pilar, the smallest mine in Brazil had a pretty respectable first half. It was affected slightly in April. There was a temporary suspension there as well for a couple of weeks, but had overall good performance and benefited again from FX and fuel rates. Looking on Slide 8. Our cost guidance and our production guidance for the year. We have updated it, despite there still being some risks out there in all three countries that we operate in due to COVID. Los Filos has been the biggest adjustment, we have come down from about 170,000 to 190,000 ounces to about 100,000 ounces of expected production for the year. Again impacted by that quarter two COVID impacts and temporary suspension, as well as the pushing of the higher greater ores in quarter four into next year. Cost performance has been good there, so we have moderated that down a bit. For Aurizona, we have increased our guidance by about 5,000 ounces and reduced the costs after very good for first half performance. Mesquite, we have increased the production guidance by about 10,000 ounces and Fazenda, we have reduced it just slightly by 5,000 ounces after the slightly slower first half. But overall, our guidance for the whole year is about 470,000 to 530,000 ounces, which is down about 12% overall. And our costs are down slightly to 975 to 1,025 per ounce. And on a capital basis, we are about the same as we expected in the beginning of the year about $9 million on a sustaining capital spend basis and about 144 on expansion capital. And interestingly in there we have added a few million dollars for early works at Santa Luz. Let me turn over to the growth and development projects on Slide 9. Castle Mountain is the first one which is very topical today. Phase 1 construction is substantially complete, I think as of yesterday, we were 95% or 96% complete. We have commenced stacking ore in June, commissioning is underway. We certainly expect to meet guidance for this year, we are slightly delayed with COVID, slowing down a couple of the contractors and getting the final completion of the physical construction. But we don't expect that to cause us any major delays or issues this year. So to be conservative, we did sort of delay the goals for last couple of weeks in the early Q4. And we expect to produce about 50,000 ounces on average there per year. And then in the background, we have been working on the Phase 2 feasibility study which we still expect before year-end, which will basically demonstrate the 200,000 ounces per year mine potential of this project. And in the background, we have also been drilling for water onsite for Phase 2 and also in the nearby town areas. So that is well ongoing and of course we will give your results when that comes to light in the next six months here. Switching back to Los Filos in Mexico. Despite the temporary suspension, actually some very exciting stuff has been happening at Los Filos behind the scenes. This is a project producing, on average 200,000 ounces a year, but we really do see the potential 350,000 plus ounces in our near future here. And in addition to developing Guadalupe open pit and the Bermejal underground. We have been looking at upsizing the carbon in-leach plant site. So Doug and the team down in Mexico have been working on moving from a 4,000 ton per day plant up to something like 8,000 tons per day expandable to low 10. The plan is to make that study public in the next sort of three, four, five months here. In early Q4 or mid-Q4, hopefully we should have that result out. And really exciting part on the back of that it has allowed us to look at the actual mine plan and scheduling of our actual mining. And obviously, with the new gold price environment, it really does change things. And so we have a 4.5 million ounce reserve there, we have a six million ounce resource base and we really do see the potential to increase the reserves in the short-term here. So sort of watching this space and when come up with those results, you will see them the whole new brand new plant the size overall production capacity. And we should be able to convert some of that resource as well. And then secondarily on a little bit smaller basis Santa Luz in Brazil. We are excited about that restart as well. It is a little bit ahead of Los Filos in Mexico. We are just finalizing the CapEx and economics on it. We should be able to get that study out here in the second half of the year as well. We have already given the go ahead and start some early works and small construction works and maybe a few orders in advance of that full construction announcement. But we fully expect to be announcing that in the second half of this year. And remember that 100,000 ounce producer with an initial 11-year mine life. And similar to sort of Aurizona, we are pretty excited about the upside potential on surface and underground there. So we are pretty excited about having these three fully financed projects in our portfolio. And when you think about Castle, it has got two phases to it. So we have got four projects in the pipeline here. And it is pretty unique compared to our mid-tier competitors here, we have got a funded internal growth profile. And when you flip on the Page 10. We kind of illustrate that that projection over the next couple of years here. It is a funded organic growth profile towards a million ounces a year of annual production. It is roughly a 20% per annum growth rate. And really what peers have that kind of growth internally. We really think that the opportunity here from a valuation perspective as well as that we have been trading a little bit on a single asset to maybe now a multi-asset producer on the 0.7.8 times price to net asset value range. A lot of our peers are now in that 1 to 1.5 times. They're more established. They've been around for a number of years at a little more steady state. Our market cap is below CAD4 billion and a lot of our peers that are producing about a 0.75 million ounces per year are in that $6 billion to $10 billion range. So if we can execute on these projects, and deliver on that sort of goal of meeting that sort of 750,000 to one million ounces of annual production. We really think there is an exceptional potential here for reiterate. And the leverage to gold is outstanding. When you look at our portfolio now we have got 20 million ounces and resource. We have got over 12 million ounces and reserves. We have got it 20% per annum growth rate, and key to us now is really executing on this profile of growth. And turning on to Slide 11 just to summarize and bring it all together. We have had a good first half of the year. Despite the disruption we are very happy with the performance of the mine, with the integration of the team and the assets. Second half of this year is very catalyst rich. So, our long term plans are on-track despite some of these disruptions. The teams in place to deliver on it. And so Los Filos and the CIL plant construction is looking to start in the second half towards year end this year and get that study out, which should give you a lot more detail on it. Santa Luz construction is already sort of underway in terms of early works and we plan to get that study out in the second half of this year. Castle Mountain Phase 1 gold pour should be the first half of quarter four. Castle Mountain Phase 2 feasibility studies in quarter four, and as well, we are going to be starting the Aurizona underground prefeasibility with an expectation to completing that in 2021. On the exploration front, there is probably too much to talk about here, but we certainly got our eyes focused on extending the mine lives at our core lines, but also looking at a midterm exploration plan, which Scott and team are looking at right now and plan to set the stage for the next two to three years. Corporately as Pete said, we have been included in the indices. We have completed the merger. We just got out some sustainability reporting information on our websites, it is now operational if you go to our website and look for that. And as I mentioned the rerate potential here is exceptional. So we will continue to focus on the fully funded growth platform internally. We have got a strong balance sheet. We have got about $500 million in cash. And as Pete said, we are pretty much net debt free when you exclude in the money convertible notes which we have got level of hold through our long term partner and shareholder ultimately. And our net debt is below onetime EBITDA. So we are in a very strong position to deliver on this profile. So I think I just want to say, thanks to the team and to you as shareholders for support for the first half of the year. It has not been an easy half, although the gold prices made up for some of the challenges we faced in our business on a day-to-day basis in country, but the team performed very well despite all the in country disruptions from COVID and the new normal that we now live in. So with that, I will conclude it and maybe open it up to a question and answer session.
Rhylin Bailie: Thank you very much, Christian. Operator, could you please remind people how to ask a question.
Operator: Certainly. We will now begin the question-and-answer session. [Operator Instructions].
Rhylin Bailie: Thank you very much. While we wait for people to ask questions on the phones, I will ask the question from our online listeners. How will the development delay at Los Filos affect your production in 2021 at that project?
Christian Milau: In terms of Los Filos for 2021, I mean, obviously we are just starting our budget process. So I don't have detailed information on that yet. But what we do expect to see here is, as we move towards the higher grades at both Guadalupe and Bermejal, we expect to see the production increase incrementally into next year. Obviously, won't have the benefits of the CIL plant probably until the end of 2021, or into the first half of 2022, when it becomes operational. So you will see an incremental improvements and increase in the production rates and levels. And obviously 2022 will show an improvement beyond that, because of obviously the CIL plant coming into play. So it would be a nice sort of call steady upward trend here over the next sort of 18-months to 24-months.
Rhylin Bailie: Okay, thank you. Can you please take a question from the phones?
Operator: Certainly. Our first question comes from Ovais Habib with Scotiabank. Please go ahead.
Ovais Habib: Hi Christian and team. Congrats on a good quarter despite COVID impacts that we saw in Q2. A of question for me in Christian. Number one, starting off with Aurizona, obviously production was low as a result of the rainfall, which will use access to some of the high grade areas. How you have increased your guidance at the mine as well for the year? Now grades are likely reason of that increased guidance. Can you give us a ballpark of what the grades you are expecting in second half? And also, are you looking to do anything else to mitigate any sort of risk in there, for the next rainfall or rainy season going into 2021?
Christian Milau: Maybe I will take part of that. And let's Scott comment a little bit on sort of where we are focused for grade and et cetera. I think we were trying to be fairly prudent and conservative going into the rainy season being the first one for us. So we did factor in some potential less mining in a sense, maybe not be able to access all the higher grade ore. We had a wood stockpile, which is obviously lower grade and I would say we slightly outperformed that the plant operated well and performed well. We see it going into the dry season here the potential to slightly underperformed in terms of throughput going through in the second half. And I think in terms of grade, maybe Scott, if you want to just comment on that.
Scott Heffernan: Yes. Grade is slightly lower in the first half, largely due to sequencing in areas that we could access during the rains. And then of course keeping that - managing of the rains, strategy in place to keep production up drawing stockpile during the rain, setting yourselves up for the next rainy season as well. So we expect to see the grade come up as the team has been able to access the more central areas of the pit. So grades in the 1.5, 1.6 range, there will be much more of that in the mine plan for the second half.
Christian Milau: You know and again, Ovais, we plan to move the mining rate up significantly. We plan for sort half of the rate during the rainy season and obviously, I think it is going to be quite a bit higher here in the dry period, so just like we experienced last year. And, we will be making up for that stockpile again. We will be going into the range, we have that stockpile in place and we are ready for it.
Ovais Habib: Okay, that is great. And just sticking with Aurizona. You are looking to modify the processing from CIP to CIL to basically I guess to manage the recoveries. Was this conversion of the work since you start production Aurizona, or was this something new that has come up? And also if you can just comment on the cost of this conversion?
Christian Milau: Yes, I mean, I don't know, Attie, you want to comment on generally. I can comment about the history and the cost if you want, but you want to comment on it generally?
Attie Roux: I think if you look at the changing in ore characteristics at Aurizona. It is moving to areas where there is a little bit more carbonaceous material and also most sulphatic material. So that is more suited to CIL rather than the CIP. So that the customer really may come on the cost structure.
Christian Milau: Yes, I mean in terms of the cost always, I believe it is less than a $1 million. So it is pretty minor and it really has no disruption to the operations that can be done sort of in the background as we operate here. And they will kind of seamlessly happen, I don't think people will even notice it. It will give us a little bit more stability and probably those recoveries along the way. But overall pretty minor impact.
Attie Roux: Most of the most of the equipment is already on site. Sites getting to be able to modify the tanks. So as you said, it is not an issue.
Ovais Habib: Perfect. And just switching gears and just going through Castle Mountain. Christian, you were mentioning that you have started drilling for water at site. Can you comment on any sort of, I mean is this going according to plan? Can you give us some color on that fact?
Christian Milau: Yes, I mean, obviously I can only give you so much color on that at this stage. I can tell you we are drilling, I think we are on whole number four or five. There is water in all the holes. You got to do our pump test, we got to do our work to actually see the recharge rates on that. But the good news is there is water there. We are being a call it prudent by also drilling and going out to sites that are give or take 15 or 20 miles away private lands that we could access as supplemental backup or alternative water sources. So we are taking all options into play here. And as we hoped and expected we are finding water and it is just a matter of doing the work now to prove out that which site is coming from but there are multiple sites. I think we will get that out in the next few months here. We just need enough time to actually go through the pump test and recharge rates.
Ovais Habib: Sounds good. So that is it for me. Thanks for taking my questions Christian.
Christian Milau: Thank you.
Operator: Our next question comes from Kip Keen with S&P Global. Please go ahead.
Kip Keen: Hi, everyone. Thanks for taking my question. What's the strategy or your view on shareholder returns? I know you are still in a growth stage here. But as you come into more cash, assuming gold prices remain elevated for some quarters or years, how might you approach that?
Christian Milau: Yes, it is a good question. Actually, and we are getting that question much more often nowadays in this current gold environment despite our growth profile. So in terms of our cash flow, now as I said, we probably have operating cash flow at these kind of gold prices, where we are going to be funding our growth profile from operating cash flow rather than needing to use our balance sheet. So one of our plans is here in the next few weeks is actually probably to repay $200 million on a revolving credit facility to pay that down. And then I think secondarily, we are just starting the budget process here. And we have to entertained the thought of a dividend. I've had a few people ask about share buyback, but certainly a dividend, or share buyback for next year. Despite the factor in heavy growth phase at the moment, we just feel that at the moment, if we continue with the sustain high levels of gold prices, we will have the cash ability to start returning some capital to shareholders in some form or another. So sort of watch this space, I think for this year, let's get through this end of this year and the COVID sort of stabilization and then in next year with our guidance and coming out, we should be able to comment on that a little more detail. But dividends are coming up the radar screen and we are certainly getting a lot of those questions today.
Kip Keen: Okay, thanks. And just a follow-up on another question. In terms of your operations and staffing levels. Have you made any changes, say at Aurizona or Mesquite in terms of staffing levels, sort of pre versus post-COVID, any savings there or are things essentially the same?
Christian Milau: I mean, I will comment generally and ask you please jump in if I missed anything. But overall, I would say staffing levels have stayed fairly similar, there is a few places where maybe we actually look to add a couple of people, because we have to modify shifts or rotations in that. We have actually added a little extra in terms of testing and that for sure, in terms of the regularity of testing its people and physical distancing, et cetera. So may cause as slight increase, but not that significant. We are obviously being completely offset by FX rates and fuel prices, et cetera. So in terms of net-net cost is probably actually down at the moment, despite some frictional costs, if you want to call it that from slight changes to the way we operate.
Kip Keen: Okay, thanks.
Scott Heffernan: Yes. I think one of the other things, we did was also a bit of cross training to make people multi skilled, so they can be used elsewhere, as you know, to cover the shortages resulting from COVID. And in one instance, we had a contractor come in to do some of the work in place of people, but we remind that.
Kip Keen: Okay. Thank you.
Rhylin Bailie: Thank you. We got a question now from a shareholder online in Saudi Arabia. When do you expect the company to be profitable on GAAP measures?
Christian Milau: Yes. I mean, at the moment, we would be, but the gold price and the share price have been outperforming and we have those non-cash losses that are coming out of from increased share price, which obviously revalues our warrant liability on the balance sheet as well. From the gold hedge from the legal mergers actually gets revalued higher gold price. So, I mean, I think this quarter if things stay flat on both the share price and a gold price base or they happen to drop back a little bit, which we have seen happen today, you have a potential for minimal to no impact or even a positive impact from those two factors. And if that is the case, we are going to be seeing profitability here this quarter. So really, we are on the cusp of that right now.
Rhylin Bailie: Thank you. Another question from online. You mentioned in your catalysts slide that you have a creative M&A in 2020. Is that still the plan despite rising gold prices?
Christian Milau: I mean, accretive M&A is probably, it is not item number one on this list anymore. It is kind of down the list. We are still opportunistic and keen to grow the business even externally. But we have got a lot of growth internally, we have got our focus on executing on that. And we will kind of keep our eye on the market and keep an eye on opportunities and we will look at things, we would love to continue to grow, expand the portfolio in the Americas if possible. But I would say, we don't need to get bigger for growth sake anymore. We have got the diversity, the scale, the liquidity now. But if there is something attractive we would love to add it to the portfolio. Continue to up tier the portfolio looking for lower cost, longer life, good jurisdiction mines along the way, but we don't need to do it. It is something that would be a nice add-on.
Operator: Our next question comes from Dalton Baretto with Canaccord Genuity. Please go ahead.
Dalton Baretto: Thanks, guys. Question, the online call actually leads me to the accretive M&A question, but I do want to follow-up on that. And it is one you didn't touch on when you were talking about the rest of the catalyst there. So just in terms of the current gold price, like how are you thinking about the portfolio right now in terms of the number of assets you have, the quality of the assets. And then as you look externally and try to up tier the portfolios, as you said. What is that you are looking for? Are you looking more for Greenfield type stuff? Is there is something else you want to build. Do you think you will get the assets you are looking for in this environment the pricing you want ? Just any comments on that.
Christian Milau: Yes, I mean it is certainly harder to find those opportunistic deals at 2000 gold - 1200 gold that is for sure. But, again it is quite often could be on a relative basis when you look at these. So we will look on a relative basis. We do need to execute, continue to get our rerating to allow us to be a little more optimistic on these opportunities. But I would say that underway at the moment, we are focused on things that are - ideally it is producing assets in the Americas 150,000 ounces plus type annual production. But obviously a number of those are getting a rewriting in terms of gold price, and they are trading at a higher value today. So they may not be as attractive or as accretive as they used to be. So we may pass in a number of things like that. So I would say the door is opening. I know Ross has certainly said before is that the discount between producing and development assets wasn't big enough in the past. I would say maybe now it start opening up a little bit where producing assets are being rerated revalued. And maybe we are going to look at some of the development assets as well. And because over the next 12-months to 18-months here, we should be executing on three of our growth projects. We will continue to look at that development pipeline in the long-term. So, I would say we are a little more open to development assets than we were a year ago or two years ago.
Dalton Baretto: Okay, great. And then just given where Solaris is trading now. What are your thoughts in your holding there?
Christian Milau: Yes. I mean, we would love that asset as individual investors as a company for years now. And it is been kind of hidden in our portfolio until what is it mid-2018. Great to get to the later day and Richard and Dan have done a good job obviously, so far for its short life on the stock exchange again. And I think our value right now is $70 million to $75 million for our third of it. And we have no plans to be selling out in the near-term, we believe it is worth a heck of a lot more in the longer term. And we love the Orient asset in Ecuador. I know, Scott is sitting beside me and he and Greg are both here love that asset. And then there is three or four more assets in the Americas in that portfolio. And so we see the potential there in the long-term of creating significant value. This is just the start. And we are a core shareholder, and we plan to be there supporting.
Dalton Baretto: Okay, great, maybe just one last one for me. Are you able to comment at all in terms of what new [Indiscernible] thinking now, just given where your share prices versus the exercise price on the converts?
Christian Milau: Yes, it has been a great partnership since they got involved. I think, if there is sort of a win-win, and it is kind of been with them. And, they have gotten some good returns. We have gotten a great stable long-term partner and shareholder, and we really do view them as a shareholder. They did come in through hybrid instruments. There is such a large fund and equal capital, I think they managed about a trillion dollars. They normally don't do deals of the scale and small sizes they did with us. So they get into a hybrid convertible and we are now with the liquidity and scale where I think you got, it is a really interesting opportunity for them in the long-term to be a partner with a good side gold mining company that will be a million ounce producer. And we see them as a long-term shareholder alongside Ross Beaty. So great support and I think you will see them convert that into some point in the next few years here, but there is no urgency to doing that. They still got three or four years left on their convertibles and, but what I do see them as a long-term partner supporting our growth.
Dalton Baretto: Okay, great. Thank you that is all for me.
Christian Milau: Thanks Dalton.
Operator: Our next question comes from Kerry Smith with Haywood Securities. Please go ahead.
Kerry Smith: Thanks operator. Christian, I apologize, if this question was asked, I got to jump up on another call. But could you just go through with me the permit status for Castle Mountain Phase 2. The expansion at Los Filos and restart Santa Luz. Just so I understand which permits you need, if any, for each of those and just the timing?
Christian Milau: Well, I will comment, maybe on Castle, and maybe I will let Doug on the other two. So for Castle, basically, we have got our permits for Phase 1 that is going operation here. The thought is on the back of the feasibility study for Phase 2, we should be out in quarter four. We will submit that use that ultimately as our plans for Phase 2. And we will submit an amendment application ultimately to the regulators. In California, they are on the back of that, so give or take quarter four, quarter one next year. So we will be able to submit an amendment up side the areas of disturbance within our current EIS boundary. So we assume that will take at least a couple of years to do, it is the U.S. and California. So it is a methodical, permitting process. But remember, it is an amendment to an operating mine. We have been very successful so far with both Castle in terms of permitting as well as an imperial county with Mesquite. So we see it as a process that will take time and resources, but we need to do the right thing first and show that we are a good citizen and operator and then we will go and amend it. In terms of other to maybe Doug, do you want to comment on Mesquite and Santa Luz?
Doug Reddy: Yes. Los Filos, obviously the optimize feasibility study work is underway at the moment. Previously we had the permit for the plant location, it was conditional on confirming the final footprint for the plant. At this point, we will be moving that to a site that - when we did our geotechnical program, we made it quite comprehensive covered some other areas that we thought would be superior and it looks like we will be moving the plant site, so we would revise that permit, which my understanding will take about a six month period to go through that revision of just the outline is still permitted, it is just a revision of where the footprint would be. The other ones would be the filter tailing deposition, which in the permit. Again, it was final confirmation of the outline. We previously had been planning to put the filter tailings onto the heap leach pads to the lion facility. Nothing changes there. So it is just a matter of confirming the outline. We may shift this slightly, because we anticipate that the heap leach pad will ultimately be a bigger design, which is a good thing. And then for thermal underground -.
Kerry Smith: When was that permitting. Sorry. When was that permits for the filter tails be put in there. Is that going to happen this year. Or is that is after the piece is done. How does that work?
Doug Reddy: It will go as soon as the study goes in. It will be submitted. But that will come through before. and that is just a confirmation of the footprint. So it should be as straightforward revisions. And that would happen while we are in the midst of the detailed engineering and moving into construction. And then the final one that we have had all along was permits for the thermal hall underground. We will be using the currently permitted portal and ramp. We do have additional sites for extra portals that were already permitted. And so we are just looking at one of those as being additional opportunity in the future. So we just have to revisit that and confirm that all the permitting is lined up for that one. So no changes are anticipated.
Kerry Smith: So all of those permits for Los Filos and it sounds like they would all be in hand by middle of next year. Would that be reasonable, then?
Doug Reddy: That will be reasonable timeframe. Beyond that, for Santa Luz we have all the permits with - there is one thing that we are doing at the moment, which is a geotechnical drilling program to do a design for the next phase for the tailings impoundment. So when that geotechnical design is finalized, that will go in for a permit for that particular lift which will be a longer life lift on Santa Luz.
Kerry Smith: And then, now that not all permits are in place.
Doug Reddy: Yes.
Kerry Smith: Okay. Okay. that is great. And then Maybe just on the amendment of Castle Mountain. Christian, do you - is it only a state approval that you need for an amendment? So there would be no federal involvement in that process for Phase 2.
Christian Milau: Yes. It will be BLM in San Bernardino County be the lead agency.
Kerry Smith: Okay. So just the BLM is the only federal agency. Okay, great, thanks very much.
Christian Milau: Yes. Thanks, Kerry.
Rhylin Bailie: Thanks, Kerry. We have another question from a listener online in Vancouver, could you please provide a bit more color on your comment about sharing resources between Mesquite and Castle Mountain and to what extent this can be done in a way to reduce costs and increase efficiencies?
Christian Milau: Yes, sure. It is a good question. Now that we are coming to operation. The first key one is, we didn't build the very back end of the plant there. At Castle we are actually trucking loaded carbon high grade gold on the carbon down to Mesquite which is about a four hour drive on a paved highway directly down the site effectively. So we will be able to smelt it down there, there is excess capacity. So we have been able to save up about say 10% of the capital by doing that. We are using obviously an experienced team and process there. So we don't need to commission the back end of the plant in the sense. There would be back office staff, there would be reporting, there would be IT systems, there will be HR support, there will be permanent support, there will be tax consolidation between the two sites. So any startup losses versus profits in Mesquite could potentially be offset against each other. Things like joint purchasing in the midterm here when we are buying either cyanide or tires or spare parts, et cetera. We will be able to do that jointly. And something like a fleet you know Mesquite if we continue to extend the life there, maybe we need to be replacing part or all of that fleets. And in the long-term, it could be moved up to Castle if need to be. Or it will just stay at Mesquite if we continue to extend the life there. So, there is all those kinds of opportunities.
Rhylin Bailie: Perfect. Well, at the moment, there are no more questions online or from the phone. So I guess we will wrap up the call. Thank you again for joining us today. If you do think of any other questions, please don't hesitate to get in touch. I understand there was a bit of an audio glitch at the beginning of the webcast that the audio was captured on the conference call. So we will be able to fix that up in the archive which will be available on our website in a few hours. I will now turn it back over to Christian for closing remarks.
Christian Milau: Thanks Rhylin. Thanks again everyone for attending, for your support during these challenging times. The business is in a great place growth is intact, and the long-term plan here is exceptional. So you know stay tuned, second half of this year is going to be pretty exciting. Lots of good news, I think coming as we manage in this new environment that we live within. So please stay tuned. Thanks.
Operator: This concludes today’s conference call. You may disconnect your lines. Thank you for participating have a pleasant day.